Operator: Thank you for standing by. And welcome to Blaize Holdings, Inc.'s Second Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speaker presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. To remove yourself from the queue, you may press star 11 again. I would now like to hand the call over to Vernice Pozynski, Investor Relations. Please go ahead.
Vernice Pozynski: Before we begin the prepared remarks, we would like to remind you that earlier today, Blaize Holdings, Inc. issued a press release announcing its second quarter 2025 results. A corporate overview presentation was published and is available on the Investor Relations section of Blaize Holdings, Inc.'s website. Today's earnings call and press release reflect management's views as of today only and will include statements related to our competitive position, anticipated industry trends, our business and strategic priorities, our financial outlook, and our revenue guidance for the 2025 and full fiscal year 2025. All of which constitute forward-looking statements under the federal securities laws. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business. For a discussion of the material risks and other important factors that could impact our actual results, please refer to the company's SEC filings and today's press release. Both of which can be found on our Investor Relations website. Any forward-looking statements that we make on this call are based on assumptions as of today and other than as may be required by law, we undertake no obligation to update these statements as a result of new information or future events. Information discussed on this call concerning Blaize Holdings, Inc.'s industry, competitive position, and the markets in which it operates is based on information from independent industry and research organizations. Other third-party sources, and management's estimate. These estimates are derived from publicly available information released by independent industry analysts and other third-party sources as well as data from Blaize Holdings, Inc.'s internal research. These estimates are based on reasonable assumptions and computations made upon reviewing such data. And Blaize Holdings, Inc.'s experience in and knowledge of such industry and markets. By definition, assumptions are subject to uncertainty and risk. Which could cause results to differ materially from those expressed in the estimates. During the call, we will discuss certain non-GAAP financial measures. These non-GAAP financial measures should be considered as a supplement to not a substitute for measures prepared in accordance with GAAP. For reconciliation of non-GAAP financial measures discussed during this call to the most directly comparable GAAP measures please refer to today's press release.
Operator: Good afternoon, everyone. And thank you for joining us today. Blaize Holdings, Inc.'s 2025 marks a clear inflection point.
Dinakar Munagala: From building technology to putting it to work. Our hybrid AI strategy has now moved from pilot validation to early-stage deployment with contracted programs underway across industries and regions. For the last twelve months, we've been focused on validation. Now we're shifting to execution at scale. Blaize Holdings, Inc. is now deploying its technologies to advance sovereign AI strategies and power public safety networks. We're not only delivering chips we're also enabling hybrid AI infrastructure that complements GPU systems powered by a programmable power-efficient, Blaize AI platform. In the last few months, we've locked in two major contracts, together worth up to $176 million to be fulfilled through 2026. These contracts send a strong signal that our product market fit and our platform approach complement the global demand for hybrid AI. The first is a $120 million contract with Starshine building hybrid AI systems across Asia. The second is a $56 million purchase order rolling out sovereign-ready smart infrastructure in South Asia serving as many as 250,000 cameras for smart traffic and public safety. Both rollouts complement existing GPU systems with Starshine deployments starting in the third quarter and South Asia systems continuing to shift through the third and the fourth quarters of this year. These two significant wins are just the start. In addition to these contracts, we have a robust pipeline of over $725 million in active opportunities through 2027. Today's AI deployments are fundamentally heterogeneous. Powered by a mix of hardware types, across edge and cloud. That complexity often creates bottlenecks especially as organizations run multimodal workloads at the edge. Blaize Holdings, Inc.'s hybrid AI approach answers that need. Our purpose-built platform is built to complement GPU systems to unlock better performance per watt and more responsive inference. While GPUs handle training jobs and complex AI in the cloud, Blaize Holdings, Inc. handles fast, efficient tasks like processing live video, small language models, or sensor data, right where it happens. Delivering a compelling total cost of ownership benefit to customers, Customers aren't replacing infrastructure. They're augmenting it. And Blaize Holdings, Inc. helps them do exactly that. To meet the growing demand for hybrid AI, we're introducing the Blaize AI platform a plug-and-play software and hardware stack that makes deployment faster and easier. At its heart, is a programmable graph streaming processor the Blaize GSP, designed for low power inference where data is created. We combine that with full stack verticalized software a low code software development kit, and a growing partner network to make AI applications deployable out of the box. According to Gartner's 2024 AI services forecast, the combined market across defense, smart cities, retail, industrial, and energy is over a $112 billion today. And then it's 2024 AI server forecast Gartner notes, that inference systems will outnumber training systems by as much as six to one. That is why the Blaize AI platform is positioned to deliver better performance lower total cost of ownership, and more deployable solutions at scale. That is how we take customer demand and turn it into deployments quickly and at scale. It is what gives us confidence in the quarters ahead. From day one, my cofounders and I set out to create a programmable architecture to power the physical world. Not just through the cloud, but with localized intelligent systems. Our vision is to be the trusted AI platform that helps people and machines act on real-time intelligence in every critical industry. Our mission is to deliver energy-efficient scalable AI infrastructure at the edge and in the cloud. That vision and mission are now coming to life. Our platform is already in the field, validated through the Starshine project and the South Asia rollout. Where hybrid AI is moving from signed contract to real deployment. Whether it's smart infrastructure, autonomous zones, or next-generation defense, The common thread is clear. Blaize Holdings, Inc. is enabling real-time intelligence wherever it's needed. Momentum is growing, as projects move forward and new opportunities open in Asia, The Gulf, and The Americas. The hybrid AI platform today runs on our current relationship, and we're already developing our next-generation chip to keep our strong edge AI position while deepening our reach into cloud-native enterprise and data center environments. We believe Blaize Holdings, Inc. is becoming a core part of the AI infrastructure stack complementing GPU systems enabling multimodal workloads, and optimizing for power, latency, and cost. From edge to cloud. This second quarter was a milestone for us We secured $176 million in contracts launched the Blaize AI platform, and proved our go-to-market strategy across smart cities, defense, and sovereign AI. Hybrid AI is no longer just a road map item. It's in the field, helping to advance national infrastructure and delivering real outcomes. The product is ready, Our partners are aligned. And customer momentum is real. With that, I'll turn it over to Harminder Sehmi to walk through the financial highlights and updated guidance.
Harminder Sehmi: Thank you, Dinakar, and, good afternoon, everyone. I'll take you through our second quarter financial performance, what we've been getting done, and where we're headed next. As you heard from Dinakar, in the last six weeks alone, we signed a $176 million in customer commitments. That's two deals. A $56 million purchase order for server and software deliveries to a South Asia company and a $120 million minimum revenue contract for service to Starshine. Covering markets across Asia Pacific. We booked $1.6 million of the South Asia order in the second quarter. Net of partner commission. And there's about $4 million in backlog for the remainder of this year. Starshine shipments are planned to begin in the third quarter with up to 25% of the total order anticipated to be fulfilled this year. Cash collections should come in steadily and most of our deliveries in the 2025 are expected to be paid within the year. We believe these bookings alone largely derisk our revenue outlook for fiscal years 2025 and 2026. Our pipeline growth is robust. Now over $725 million with $300 million of that in advanced discussions. We expect conversion to accelerate as we move into 2026. And plan to share news as contracts and purchase orders close. Now let's look at the second quarter by the numbers. I'm pleased to report that revenue came in at $2 million, net of around $200,000 in related party sales commissions. That's almost double the revenue reported last quarter and above the high end of our guidance range. The South Asia purchase order includes around 15% of perpetual software licenses shipped with each server. And we also recognized $300,000 in AI studio license revenue from another customer. Excluding inventory cost adjustments made in prior periods, our underlying blended gross margin for the second quarter was 64%. Gross margins are expected to dip for the next two or three quarters as we ramp up the Starshine contract because of third-party hardware. Research and development expense of $9.6 million in the second quarter included a noncash stock-based charge of $3.2 million. The underlying cost of $6.4 million was $700,000 lower than the prior quarter underlying cost of $7.1 million. This reduction was largely due to the uneven nature of third-party costs related to the development of our next-generation chip. We continue to actively manage our labor costs by optimizing resources in lower-cost geographies. Selling, general, and administrative expenses excluding depreciation and amortization, and stock-based compensation, grew slightly to $8.6 million in the second quarter up from $8.3 million in the prior quarter. The primary drivers were higher legal and financial advisory fees, external marketing costs. Offset by savings in labor costs. We plan to selectively invest in our go-to-market capability in the regions where we're experiencing highest demand. For the hybrid AI platform. Net loss for the second quarter of $29.6 million was over $118 million lower than the prior quarter. Which included significant one-time and noncash accounting adjustments related to the merger. Cash ended the quarter at $29.1 million including funds in escrow. In July, we entered into a common stock purchase agreement with B. Riley. This agreement gives us the flexibility to raise equity when we want to. We will continue to explore capital formation strategies to fund capital needs for future growth opportunities. Coupled with anticipated receipts from customers, we believe that our cash runway supports the commercialization of the two announced contracts and engagement of third-party design partners to begin developing our next-generation silicon. Since our last earnings call, here's what I'd highlight. First, we secured a $176 million in contracts and purchase orders. South Asia deliveries are underway, and we anticipate the first shipments for Starshine to start in the 2025.
Operator: Second,
Dinakar Munagala: We launched our hybrid AI platform which is resonating strongly with customers serving multiple use cases. This is no longer a road map item. It's being deployed in national and enterprise infrastructures and shaping real-world outcomes. Next, our qualified pipeline now exceeds $725 million with $300 million in higher confidence deals expected to contribute towards more predictable revenue growth in 2026 and beyond. And finally, we continue to maintain cost discipline. Investing where demand is strongest and have capital formation strategies in place to fund growth. Thank you. And with that, we'll now open the line for questions.
Operator: As a reminder, to ask a question, you will need to press 11 on your telephone. To remove yourself from the queue, you may press 11 again. Please limit yourself to one question and one follow-up. Please standby while we compile the Q and A roster.
Dinakar Munagala: Good afternoon, everybody. Sorry, speaker. We just needed to pass it back to Dinakar for
Operator: Some closing remarks. Okay.
Dinakar Munagala: Please proceed.
Vernice Pozynski: Good afternoon, Rudy.
Dinakar Munagala: As we get started, I wanted to share something we're excited about. Our client, Starshine, recently published a case study featuring Blaize Holdings, Inc. along with a great video from their CEO, Matt. It's always energizing to see our work and vision showcased. Matt shared the video link with us, and we posted it on the Blaize Holdings, Inc. website and our blog for anyone who would like to check it out. With that, I'd like to hand it over back to you. Q and A.
Operator: Thank you, sir. Our first question comes from the line of Gil Luria of D. A. Davidson. Please go ahead, Gil.
Gil Luria: Yeah. Thank you. Good afternoon. First question is just to check some math here. If we have a $176 million it will be delivered by the 2026 based on this year's guidance. That would imply that there's a $140 million that should still that that go into 2026, before any additional wins from any other contract that could be secured between now and the end of next year. Is that right?
Dinakar Munagala: That'll be correct. Yeah.
Operator: Okay. And then the second part is is more about the the architecture and the market opportunity. It sounds like the the star the architecture for Starshine is I I think you referred to it as a hybrid architecture where you're putting your product side by side in a server with NVIDIA GPUs because your inference is is so much more efficient then that goes into the data center. Unlike other projects that you're going to deliver going on the edge, this architecture puts you in the data center. Does does that mean that now have a a bigger incremental opportunity within data centers as opposed to the the opportunity at the edge?
Dinakar Munagala: Absolutely, Gil. It is a combination of for example, the South Asia contract that we announced, is also with Sovereign AI provider and they are doing traffic management use cases where they they have a box right behind the camera and and also a server in an on-prem cloud that can do analytics for traffic. What what we're seeing bigger picture is customer key customers primarily care about ROI. For a project, and this is where they're looking at hybrid as the right strategy where where they do GPU based systems for part of the problem, And then they need part of the AI pro stack. Blaize Holdings, Inc. runs more efficiently a TCO advantage, for a cost advantage, power advantage, And this is where they complement GPUs with Blaize Holdings, Inc. And and that's the momentum that we've picked. Seeing, and that's what we're referring to as hybrid AI. So so you are right that it also extending our reach into the data center.
Operator: That's great. Thank you.
Vernice Pozynski: Thank you.
Operator: Our next question comes from the line of Richard Shannon of Craig Hallum Capital Group LLC. Please go ahead, Richard.
Richard Shannon: Thank you. Thanks, Dinakar and Harminder for taking a couple of my questions here.
Harminder Sehmi: Maybe let's just ask more tactical one here. Following up the guide as well as a couple of the past questions here. I guess the first part of this, you're talking about a dip in gross margins here in I think, the next couple of quarters. Maybe you could nail this down a little bit better, help us out what kind of levels you're thinking of and then how much of the sales here come from these two large contracts in Starshine and from the Southeast? Asian customer.
Dinakar Munagala: So and you're second question for clarification, Richard, do you mean in 2025? How much of those contracts are in 2020?
Richard Shannon: I I I mentioned the third quarter, but if you'd like to go for the whole second half, that'd be great Yeah. So
Dinakar Munagala: It's gonna be a combination. It's gonna the the if I take your second question first, the between the $56 million and the and the $120 million, there'll be more of Starshine this year. In in proportion. And, of course, it'll be proportionate as we go into 2026. The gross margin dip, we it will depend on the mix of not just the deliveries of these two contracts. Both have third-party hardware components in them. But the margins on the Starshine third-party components are slightly lower. So it will I can't quantify just yet. It will depend on the mix. But all we do know what we can say is that it will be a little bit lower than what we are seeing today. Of course, what will also and can also offset that is the more software licenses and so on that we deploy in 2026, that should counter
Operator: Some of that reduction from the Starshine contract specifically.
Richard Shannon: Okay. Perfect. That's that's very helpful detail here. My second question is regarding the MOU with the UAE entity they announced last year. And I asked this partly Dinakar because, a couple times in your prepared remarks, talked about defense applications being proven out here, and I smell something like what's going on there. So maybe if you can give us an update of where that sits it's still in the pipeline, when you expect that to come across finish line.
Operator: Sure. Our defense pipeline is actually growing, but let me
Dinakar Munagala: Specifically address your question with regards to the the MO MOD. Status. The delivery and revenue recognition of, that particular MOD project will follow the customer's deployment schedule which currently targets 2026. Given the size and immediacy of the Starshine and the South Asia orders, we're actually prioritizing these programs to deliver a recognized revenue in Q2, Q3, and Q4. And that that's where we are. On top of that, we are engaged with defense industry in various this is part of our pipeline, larger pipeline. Including use cases like drones, as well as video security, perimeter security. And as these further materialize, we'll be sure to announce the
Richard Shannon: Okay. Great. One last question. I will jump out of line here. The pipeline, $725 million, I think the last quarter you talked about I can't remember what it was, $400 million or something like that. So a nice increase I've assumed if we take out the $176 million that the contracts you've announced since then here you can tell us about where the new elements of the pipeline sit. And then also with these, I think, $300 million in late stage here, how many different contracts are we talking about? And would it be reasonably expected to see those closed sometime this year?
Dinakar Munagala: So, yes. You're right. The $1.76, is
Operator: Outside of the $7.25, and
Dinakar Munagala: So we've always maintained a very deliberate nature of how we qualify our opportunities. And, really, it's it's playing to the advantages of the you know, the Blaize Holdings, Inc. the programmable
Lane Bess: Device, the low latency, you know, high power high performance and low power consumption. There are probably around 20 to 40 different applications or customer engagements in the seven twenty five. So they're they they vary in size. As we would have discussed in earlier conversations, we approach what we call a beach health customer. We take a beach health customer approach with our ISVs. When we deal with one particular customer, one ISV in one specific industry. And as that gets deployed, we expect that that ISVs pipeline, you know, becomes available to us. The 300 in, specifically, that one, we've gone through POCs. We've done some pilots. We've identified the ISV. Are working with those customers. And, really, it's about when they wish to start deploying solutions We expect most of those to begin in at scale in 2026.
Richard Shannon: Okay. Great. Thanks all that's all for me, guys. Thank you. Thank you. Once again, to ask a question, please press
Operator: 11 on your telephone. Again, that's 11 to ask a question.
Richard Shannon: Our next question
Operator: Comes from the line of Kevin Cassidy of Rosenblatt Securities. Please go ahead, Kevin.
Kevin Cassidy: Yes. Thank you for taking my question, and congratulations on the great results. And good outlook. One question I have is your guidance for the year for 2025. It tightened it on the low end and also on the top end. I was just wondering on the high end, is is it more of your supply chain? Or what brought that number down?
Lane Bess: No. It's not a supply chain issue, Kevin. It's it's really we're we're now working very closely with those customers on what their deployment needs are. We know that they had requirements for 2025, which were for fulfilling. And we've got schedules for 2026 that we're working through.
Kevin Cassidy: Okay. Great. And your outlook for 2026 remains the same? The the revenue guidance you had given before? Okay. Great.
Lane Bess: A while ago, we had updated the lower end from a $105 million to a $130 million. But the upper end still remains the same. Okay. And can you talk about the
Kevin Cassidy: Supply chain? Is there any problems getting wafer starts or
Operator: Any any other I guess, is the long
Kevin Cassidy: Pole in the tent for manufacturing your products?
Lane Bess: No. We're, we're fortunate in the sense that we're our first generation of chip is, at 14 nanometer doesn't cause us any capacity sort of challenges with the Samsung Foundry. We maintain extremely close relationships with them and our contract manufacturer. So as these contracts were being discussed and we knew what the rollouts were gonna be, we'd already placed orders for not just chips, but also the the the end you know, the cards and so on. Dinakar, do you wanna add?
Vernice Pozynski: Also that no. Right? Our our foundry is
Dinakar Munagala: Here. It's also beneficial.
Vernice Pozynski: Okay. Thank you.
Operator: Thank you.
Dinakar Munagala: Our next question
Operator: Comes from the line of Scott Searle of ROTH Capital. Please go ahead, Scott.
Scott Searle: Hey. Good afternoon. Thanks for taking my questions. Hey, Dinakar. To dive in a little bit on the hybridization commentary. There there certainly been the evolution within the data center, which was a huge up opportunity as we look out over the next several years. But it sounds like there's a little bit of hybridization going on in the edge as well. I'm wondering a couple things. Coexistence at the edge with GPUs as opposed to complete displacement. How do you see the evolution over the next year or so? And then, I'm wondering within the data center itself, sounds like some of those early opportunities are starting to to crop up and present themselves. I'm wondering about the time line of when we start to see that materialize in a little bit more of a a meaningful way. And as we look at that $725 million pipeline, how is that spread across you know, traditional data center versus edge applications? Thanks.
Operator: Sure. Sure. Scott, thank you.
Dinakar Munagala: First of I guess, the the technology part behind it Customers clearly, especially in these real-world projects, care about ROI. How much is the spend, and they have their budgets established. And within that, they have to you know, show results and the return. Whether it's a government or city or what have you. And and that is what is is driving. If they if they did the entire project on CPU only, the cost would be prohibited. At the same time, the parts of the AI stack Blaize Holdings, Inc. is more efficient more more power efficient, more cost efficient At the same time, one of the uniquenesses of Blaize Holdings, Inc.'s architecture is full programmability. That it can adopt these workloads. And then the software tool chain to make it seamless and easy to adopt. Right? So that it it also helps with the customers' time to market, IT spend. So these are all coming to play and complementing a GPU based design, a system with a Blaize Holdings, Inc. server alongside is is what they're witnessing significant TC advantage. So that's what is driving the momentum. The second part, I'll let Harminder jump in as well.
Lane Bess: So you asked about a mixture of the split of the pipeline and actually, it is a blend. So I'll give you one extreme, which is where in certain defense applications, drones, for example, it's deployment of one of our cards. On the drone itself. And and and that's it. That that's that is the solution that's being provided. At the other end, you've got the kind of things that you've heard from the South Asia deal and the Starshine deal where we are delivering server systems you know, powered by Blaize Holdings, Inc. And they coexist you know, with GPU based systems. And in the middle, you've got again, another defense type of application where you've got a mixture of two. On on the one hand, you will have sensors, perimeter security, for example. You have sensors on the perimeter, which is fusing you know, visual spectrum near infrared, infrared radar, etcetera. And there are certain alerts being delivered from the, algorithms that are algorithms that are being run there and there. But they're then backed up by a command center, which has a server sort of system based. Server say server system based
Scott Searle: A system a server system.
Lane Bess: Excuse me. So when we look at that pipeline, it's it's got combinations of all of those. And we just focus on where customers want to deploy the fastest, and that's how we react.
Scott Searle: Hey. If I could just quickly follow-up, I think you you indicated in your opening remarks about inference driving about, you know, six x the opportunity versus traditional training. And I'm just wondering, if you're seeing those types of numbers in any of these early deployments, right, in terms of the the the wallet share or market opportunity for you guys? Or is is that the evolution that you're going to expect over the next several years?
Dinakar Munagala: This is actually quite clear. Right? The initial phase of AI was all about AI training and creating models in the in the cloud. Now AI does need to come outside the data center into real use cases. It could be smart city. It could be act agriculture, industrial automation. All of these
Lane Bess: Cases
Dinakar Munagala: And and and this is where majority of the workload is inference. So as the world starts adopting AI, influence is the main use case. And and we're actually finding this even as we discuss with our customers about the hybridization strategy pretty pretty common to see them have more inference demands than anything else. So, yeah, short answer is yes.
Vernice Pozynski: Great. Thank you.
Gil Luria: Sure.
Operator: I would now like to turn the conference back to Dinakar Munagala for closing remarks.
Vernice Pozynski: Sir?
Gil Luria: Sure. Thank you. So as we wrap up,
Dinakar Munagala: We started the year as a young public company. And we we had a pipeline and our focus was to convert the pipeline I want to emphasize that Blaize Holdings, Inc. is now entering this next chapter of hybrid AI with focus momentum, and the right partnerships in place, we have a clear path to execute on our commitments at scale with our Blaize AI platform and capture the opportunities ahead with our pipeline. Our technology is proven. Our go-to-market is working. Our team is fully aligned. I'm excited about what's ahead for Blaize Holdings, Inc. I want to thank our employees, our partners, customers, and shareholders. For their continued trust and support.
Operator: Thank you. This concludes today's conference call. Thank you for participating, You may now disconnect.